Operator: Good day and welcome to the OUTFRONT Media Fourth Quarter and Full Year 2018 Earnings Conference Call. At this time, I would like to turn the conference over to Greg Lundberg, Investor Relations. Please go ahead.
Greg Lundberg: Good afternoon everyone. Thank you for joining our 2018 fourth quarter and full year earnings call. On the call today are Jeremy Male, Chairman and Chief Executive Officer; and Matthew Siegel, Executive Vice President and Chief Financial Officer. After discussion of our financial results, we will open up the lines for a question-and-answer session. Our comments today will also refer to the earnings release and the slide presentation that you can find in the Investor Relations section of our website, outfrontmedia.com. And after today's call is concluded, an audio archive will be there as well. This conference call may include forward-looking statements. Relevant factors that could cause actual results to differ materially from these forward-looking statements are listed in our earnings materials and in our SEC filings including our 2017 Form 10-K and our 2018 10-K which we expect to file tomorrow. We'll refer to certain non-GAAP financial measures on this call. Any references to OIBDA made today will be on an adjusted basis. And reconciliations of OIBDA and other non-GAAP financial measures are in the appendix of the slide presentation, the earnings release, and on our website. And with that, I will turn the call over to Jeremy.
Jeremy Male: Thanks Greg and good afternoon everyone. We're excited that you could join us today to review our fourth quarter performance and 2019 outlook. Looking at the key highlights on Slide 3, I think you'll agree that our financial results surpassed expectations in the fourth quarter. Total revenues grew a very strong 12.7% on a reported basis. This strength was broad with accelerating results in Billboard, Transit, Local, and National. Strong revenues drove adjusted OIBDA and AFFO up more than 18%. The quarter capped off a good year with reported revenues up 5.6%, OIBDA up 8%, and AFFO also up 8%, which surpassed both our original and upwardly revised expectations. On Slide 4, total revenues grew 12.7% on a reported basis and 12.6% on an organic basis. The main engine of this growth was U.S. Media. Looking more closely at U.S. Media on Slide 5, 11% growth in total was balanced in dollar terms between Billboard which was up 8.5% and a strong ramp in our Transit business with revenues surging nearly 17%. And it's worth noting that geographically we saw growth in every one of our key regions across both Billboard and Transit. Slide 6 which we introduced last quarter shows you the local and national advertiser split in our U.S. Media segment. Local was 55% of our business this quarter and national was 45%. They both grew double digits in the quarter, each up 11%. As you're aware, national started out more slowly in 2018, but we saw improvement coming in the second half and this was a very strong finish which we guided to on the last quarter's call.\ Slide 7 shows that our other revenue categories were also very strong this quarter, up $10 million or 32.5% on a reported basis. This was led by strong Billboard performance in Canada. We also saw growth in our Sports Marketing business and enjoyed a $3 million non-core revenue increase related to the sale and installation of digital screens in sports stadium. We're very pleased with our overall results this quarter. Every part of this business performed well with great sales execution in local and national across our unique and attractive mix of Transit and Billboard assets. Let me now hand the call over to Matt.
Matthew Siegel: Thanks Jeremy and good afternoon. Moving down the income statement, please turn to Slide 8 for a look at our expenses. As a percentage of total revenues, total expense levels declined around one and a half points. We saw margin improvements in both billboard lease expense and transit franchise expense as both posting and maintenance expenses. Corporate expense levels were also down. While we did see higher SG&A levels, the majority of this increase was related to our sales growth efforts and to a lesser extent, our continued investment in strategic business development expenses which were $4.3 million for the quarter. Slide 9 shows the same expense categories on a dollar basis. A significant portion of our expense growth was directly related to higher revenues which grew more than our expenses driving the 18.7% of OIBDA growth you can see on Slide 10. This bridge puts into perspective the contribution of revenues to our OIBDA growth this quarter as the OIBDA margin lifted to 31.8% from 30.2% last year. Slide 11 is new and we think it will give you a more clear understanding of the relative contribution of our asset mix. What we show here is our U.S. Media segment OIBDA broken out into its two components; Billboard and Transit. Billboard is around 80% of our total OIBDA, had a 42% margin, and grew by 9.9%. Transit as you know has different economics with a 20% margin and extremely healthy fourth quarter growth of 24.3%. The other segment grew nicely on the strength of billboards in Canada. Turning to Slide 12, our fourth quarter capital expenditure levels increased relative to last year. For the full year, our growth capital expenditures were $63.7 million above our $55 million estimate as we increased our digital investment. Our maintenance capital expenditures were $18.6 million slightly below our $20 million to $25 million guidance. During the fourth quarter, our growth CapEx primarily reflected 20 digital billboard conversions and the further digitization of the Boston Transit System which will be completed this year. During 2018, we built or converted 88 digital billboards. For 2019, our guidance for capital expenditures is approximately $80 million with maintenance of $20 million to $25 million and growth of $55 million to $60 million. This increase on the growth side reflects our desire to accelerate digital billboard conversions due to demand we see in the market and the attractive returns we continue to generate. Turning to Slide 13, we saw a bridge in our year-over-year -- we show a bridge on our year-over-year quarterly AFFO. The 18.4% growth was mostly driven by the higher OIBDA. I'll note that interest expense was also up due to a higher weighted average cost of debt higher debt outstanding and letter of credit fees related to our MTA agreement. The strong fourth quarter performance helped AFFO increase 8% for the year which put us well ahead of our original low to mid-single-digit guidance for the year. In 2019, we expect AFFO to grow in the mid-single-digit range which incorporates higher interest expense, our continued investment in digital operations, and cash taxes of approximately $10 million. AFFO and adjusted free cash flow coverage of our dividends are shown on Slide 14. The payout ratios on AFFO for the quarter on a last 12-month basis were comfortably in our historical range. For adjusted free cash flow, we were 62% for the quarter and 99% LTM. Within the LTM calculation are approximately $70 million of one-time payments related to new transit and sports contracts and also recoupable interest expense of approximately $3 million, which was incurred for MTA deployment funding. These two figures represent about nine percentage points with additional dividend coverage. As you saw this afternoon, the Board approved our next quarterly dividend of $0.36 per share. Now, let's turn to our balance sheet and liquidity on Slide 15. Our total liquidity at December 31st was $432 million comprised of unrestricted cash as well as unused availability on our revolving credit and accounts receivable facilities. We feel this is an ample level of liquidity when we're looking at our future requirements and we do not have any meaningful debt maturities until 2022. And due to our strong OIBDA growth, our net leverage ratio decreased 30 basis points to 4.7 times. An additional source of liquidity is our at-the-market or ATM equity program. During the fourth quarter, we used the ATM facility for the first time raising gross proceeds of $15.5 million leaving $284.5 million unused. The proceeds will fund an acquisition of a digital display portfolio in Atlanta that will close in the second quarter of 2019 with attractive returns well above our cost of capital. Now, let's turn to an update on our MTA progress on Slide 16. We feel really good about the project and how it's growing and then we encourage you to see it for yourself. Those of you in New York have probably seen the quality of the displays and the terrific advertising that they're carrying. In addition to advertising screens, every station will have some displays that provide customer information such as real-time train updates and other useful passenger communication for the MTA. As of December 31, we'd deployed over 1,200 displays including 934 in the fourth quarter. In 2019, we will significantly accelerate the deployment of platform displays and also we'll begin the initial deployment of digital advertising screens on rolling stock, which is an exciting new media format. In 2018, following the MTA build-out requirements, more than half of the screens installed were communication screens. And in 2019, the mix will shift toward advertising screens. Our total MTA project costs were $33 million in the quarter, $91.2 million for the year and $96.8 million in total, which includes equipment cost for the 2019 deployments. You recall that our estimate for 2018 had been $130 million. Most of the difference was due to slower-than-anticipated deployment and also the timing of some near-end payments. We expect our 2019 equipment deployment cost to be approximately $175 million, which captures some of the un-dispensed from last year and the installation ramp up. You'll see a new table in our 10-K and 10-Q that tracks the balance of the project and the deployment cost incurred recoupment and amortization. While 2018 was a partial build-out year with the first station turned on in July, you will see we did begin recoupment of our deployment costs. It was a small amount, as expected and recoupment will increase significantly as we grow revenues going forward. As you will recall, all of our expenditures are expected to be recouped from the MTA over time. As we look at the full 15-year project based on our estimates and assumptions derived from current cost levels, the projected total inflation would actually be materially higher than our initial estimate of $800 million. However, we are actively working on display cost reductions, installation efficiencies and scope changes that we believe will positively impact our current estimates. Going forward, we'll continue to update our annual equipment deployment cost estimate as we move through the fiscal year. And, in lieu of updating the total 15-year project cost, we'll update our third-party financing expectations, which reflects the combination of our revenue expectations, related recoupment and capital outlays. This amount is still in the same zone as previously estimated with cumulative third-party financing needs peaking at approximately $350 million within the original full year time frame. This reflects slower early deployment and more importantly better revenue outlook than originally forecasted due to success we're seeing in Boston and D.C. with our Liveboards and the general strength in our transit business, which help us feel very positive about our MTA opportunity. You'll note that our current liquidity is in excess of the $350 million estimate, we have already spent the first $94 million with an approximately $250 million of incremental financing for this project. And finally, we're pleased with our financial results. Our business is accelerating on many levels. Our leverage is improving organically. Our liquidity is ample. And we have flexibility in our financing options and the industry is providing good tailwinds. On that topic, let me turn it back over to Jeremy.
Jeremy Male: All right. Thank you, Matt. And moving on to slide 17 and the outlook that Matt just mentioned. At this point in time, we expect first quarter total revenue growth in the high single-digit range with transit growth increasing further from the fourth quarter rate and attractive growth in both local and national. The same factors that drove such a strong fourth quarter are also contributing to our first quarter outlook digital expansion and improving yields. On the first topic digital, please turn to slide 18. Total digital revenues were up 27.6% in Q4, an impressive growth achieved through a combination of increase yield, digital billboard conversions and new transit inventory. As Matt mentioned, we're working to increase our billboard conversion pace and to ramp up the digitization of our key transit properties. Digital now represents 18.4% of our total revenue, an increase of 2.2 percentage points over the fourth quarter of last year and it remains a key element of our growth strategy. The second driver of growth was billboard yield as seen on slide 19. Our total yield was up 9.6%, the strongest growth this year and it was particularly pleasing to see the static performance. Importantly, while digital growth was positively impacted by new units, the majority of growth was actually driven by yield improvement. I'd like to close today on the topic I mentioned at the beginning of this call, which is the asset mix of our portfolio. In 2018, 69% of our revenues came from billboards and 31% came from transit, the ratio that's been very stable since our IPO. We think that this is the best portfolio in the market today relative to our advertising is growing and is expected to grow in the future. There are two key reasons for this. The first reason is urbanization. Populations are growing in the large and important U.S. cities. Within these vibrant urban markets, household incomes are higher and populations skew younger, which are key factors for advertisers both national and local. Our U.S. portfolio is concentrated on these top urban centers, with our top 15 markets generating 71% of our billboard revenues and 98% of our transit revenues last year. Billboards work very well in these environments and transit is critical to reach the commuting population. The second reason we believe we have the best asset mix, is the complementary nature of billboard and transit. These assets work together to accomplish our advertisers' goals and to drive our revenues. In 2018, 86 of our top 100 U.S. advertisers purchased both billboard and transit from us. We believe that campaigns using a mix of billboard and transit will become even more common in the future as technology advances and advertisers can execute in more targeted and automated ways. In closing, we had a great quarter to cap off a solid year and the beginning 2019 with some really good momentum. We're executing well. Our financials are improving. We're outperforming and generating good returns from our assets. And we're doing so in an industry that is one of the healthiest in media posting growth rates not seen in years. Looking forward, technology investments will provide a further tailwind. And we firmly believe that out-of-home is well poised to take an increasing share at the total media market. With that operator, let's open the line for questions.
Operator: Thank you. (Operator Instructions) We'll go first to Marci Ryvicker with Wolfe Research.
Marci Ryvicker: Thank you. I have a couple. I want to start with the fourth quarter. Can you just give a little bit more color on exactly what was driving local and national? Is it a specific category? Is it something you're doing it? Is it your market? Are you taking share? Is there any political in there?
Jeremy Male: Okay. Let's take some of that -- let's take that from the top. So, I guess, when you look at the categories, the strongest categories for the quarter were actually the same as the strongest categories of the year: tech, entertainment and financial services. Within tech there are some of the usual suspects that you would expect in there who are all highly supportive of the out-of-home media. When you look into it further, to be honest, everything was great. It wasn't the political story. Political was 0.3% of our revenues only. And everything in Q4 was great. Local business was very strong in both billboard and transit. National was strong. We did get a couple of benefits that helped the overall growth rate. So we have the $3 million that I mentioned in terms of the sellers in digital screens. We had around about $1 million bump in Canada from the legalization of marijuana. But for the -- we will have the first time contribution from BART coming into our numbers in transit. But if you take all of that together, it's sort of just over two points of growth. So actually we were well into the double-digits if you think absolute apples-to-apples, which we were really pleased with.
Marci Ryvicker: Okay. And then, I guess, it's a similar question for the first quarter guidance of high single-digits. What's driving that? It's very different than what we saw from Lamar? And then I hate to give this to you, but can you give us a sense for the year in terms of revenue growth? Is it something we should be plugging in every quarter? Or is it going to sort of decelerate a little bit as we go through the year?
Jeremy Male: Okay. Marci, just on -- to the first point in terms of industry comps. As you know, we've always said that you can't draw a line between the companies that publicly report in our sector, we have different asset mix and we have different geographical mixes. So, we're going to see variations over time. So, yeah, high single digits is the second highest guidance that we've given. Things are going well. Billboard will be up nicely. Transit is obviously powering ahead. National will be up. Local will be up. So, yeah, we feel very positive about the first part of the year. It's fair to say that look when we get to Q4, we're going to have some much tougher comps. So, I think we'll prefer to comment on the annual sort of revenue guidance as we get closer to the time. But one thing that we do know is that within our base, we are continuing to build-out our digital inventory. We're continuing to build-out the MTA. And all of those will be starting to impact nicely I hope by the time we get to the year-end.
Marci Ryvicker: Got it. Thank you so much.
Operator: And we'll go next to Jason Bazinet with Citi.
Jason Bazinet: Hi. I just had a question on slide 19, regarding yield. I guess, the market is maybe a little bit nervous about the macro and yet you guys put in pretty significant, I think this is just a way of saying price increases on the billboards. What is the collateral if there is sort of call-it negative implications of taking big rate increases? When does that manifest itself?  In other words is it something that sort of if there is an adverse implication from taking big price increases it shows up a quarter or two down the road?
Jeremy Male: I think the way to answer that is yield is obviously a combination of occupancy and rate. So, if you drill into those yields, we saw some occupancy increase, but for the most part it was about rate. I'm not sure that there is a linear -- anything linear about sort of recession and price versus recession occupancy. In fact, sort of during -- if you go back to the sort of the growth recession, I wasn't in the U.S. then, but sort of looking at out-of-home generally, there seemed to be a tendency to actually accept a little bit reduction in occupancy and actually work really hard to see if you could maintain rate because obviously over time it's sort of more difficult to generate rate. So, a little bit hard to comment when we're talking on something that at this moment in time is hypothetical. But as I say right now, there are no signs in our business that give us any cause to concern.
Jason Bazinet: Would you say that on the utilization part of yield that you're sort of near record highs? Or is there still, if you look back at history, a lot of legal room to sort of raise the utilization rates?
Jeremy Male: Look, it's sort of what I'd call pretty much normalized, normalized rate. We do vary a lot by markets. So, we have some markets where they laid up in the early 90. When you are at that sort of rate, you're almost fully sold because you know after that you've just got -- you're trying to manage gaps between the campaign. And then we have got markets actually we're more in the like 65% to 70% range where we've got some great upside. So, mixed bag, say dependence on the geography, but still opportunities to grow through occupancy.
Jason Bazinet: Helpful. Thank you.
Operator: We'll go next to Aaron Watts with Deutsche Bank.
Aaron Watts: Thanks for having me on. Jeremy, wanted to ask as you look into your crystal ball for this year on the M&A pipeline, curious what you are seeing both on the billboard side? And then maybe with transit, if you can comment at all about any legacy contracts of yours that might be coming up for renewal that are material? And on the other side of that coin, any opportunities you might see to go after out there?
Jeremy Male: Yeah, absolutely. So, in terms of the M&A pipeline that continues to be a number -- they're like smaller tuck-in opportunities that we are interested in. We mentioned obviously the investment that we're putting into Atlanta in Q2. We pursue really on a selected basis in markets that we really think can add value to our portfolio which is very much sort of in the top 20 portfolio, and at any one time we'd be working on maybe three or four acquisitions. If we look at the total value of that that sort of probably several hundred millions, not all of them will necessarily come through. On transit, it's instant because the way in some ways we think about transit with the investments that we're making, somewhat it's like a rolling acquisition, because as we invest and we're building out digital footprint in transit, all of that will bring in incremental OIBDA. So, we sort of view that a little bit like an acquisition. In terms of transit authorities, there's nothing of any significance coming up with our portfolio this year. We think that may be a bid out in Atlanta which is a property that we have, but it -- that's relatively a small piece of our footprint. And on the sort of, if you like, on the defense side, on the offense side, it's very likely that some are -- people come out for Chicago some time over the summer period and that's something we'll be looking at with interest.
Aaron Watts: Okay. That's helpful. And maybe this is somewhat related, but you commented about why you're happy with your asset mix today. And maybe if I could ask about how you think about your capital allocation options for the future though? I'm curious how you balance organic and inorganic opportunities in billboard versus those in transit? And I ask considering the higher margins on the billboard side of the house and given the amount of upward capital requirements and ramp or payback period on the transit side.
Jeremy Male: Yeah. I guess, the first point is that in terms of if you are investing organically in our billboard business in terms of billboard conversions to digital et cetera, et cetera. There's nothing that we're not investing in that we don’t think so -- that's a great thing to invest in. And we're still making really good returns. 20% plus on the digital investments that we're making in our billboard business and we'll continue to make. In transit, outside of Boston where we took on, if you like, the capital investment obligation, the investments that we're making in the MTA and indeed in BART in San Francisco, they're actually -- those investments are recouped from us out of the share of revenues that would have gone to the transit operators. So, it's a slightly different way of thinking about capital. So, as I say we're very comfortable with both parts of our business and when you actually look at total capital in the transit business the return on capital there is fantastic.
Aaron Watts: All right. Great. Appreciate the comments.
Operator: We'll go next to Drew Borst with Goldman Sachs.
Drew Borst: Hi, thanks for taking the questions. I was wondering, is there much of a benefit from the new MTA contract in the fourth quarter organic growth?
Jeremy Male: Relatively small.
Drew Borst: Okay. 
Jeremy Male: Actually, interestingly, right now, the transit business, in general, is just performing very well. Digital, for example, in Boston or static which is what principally is still a static state in New York and that performed extremely well in Q4.
Drew Borst: When do you think is reasonable for us to start seeing, I appreciate you're scaling up the deployments you mentioned in your script you know, some of the deployments in 2018 were more communication rather than advertising, but that mix will shift to your benefit this year. I mean, what's the reason for that expectation in terms of starting to see the benefits of these digital appointments in MTA? Is it sort of 3Q or 4Q, or is it more kind of a 2020 benefit?
Jeremy Male: Yeah. As I said on the call think about guidance for the year as a whole. I know to see that we're starting to get some of the benefit coming through Q3 Q4. But, I mean say, it will be next year when we'll start to see that big greater benefit, yes.
Andrew Borst : Okay. And then just lastly, I think I heard you correctly that you're guiding to AFFO of mid-single digits for 2019, is that correct?
Matthew Siegel: Right, Drew. It's Matt. We are at mid single-digits. We have -- it's still increasing our interest expense in 2019. That's a bit of a headwind on otherwise solid growth.
Andrew Borst : So could you have been delevering obviously the incremental interest, I guess, is associated with funding the MTA is that where the interest is coming from?
Matthew Siegel: Yeah. Well, our deleveraging is really we're growing into our debt. We're not paying down debt. We're increasing our OIBDA. We have about $700 million of floating rate debt, which in a slightly higher interest rate environment is a negative. And as we continue to fund from the MTA upfront, we have a big funding year in 2019 combined with some funding in 2018. We do expect interest expense to go up.
Andrew Borst : Okay. Great. Thanks for the answers.
Matthew Siegel: Yes.
Operator: We'll go next to David Miller with Imperial Capital.
David Miller: Hey, guys. Sorry about, sorry about that audio issues. Can you hear me?
Jeremy Male: Yes, absolutely.
David Miller : You guys can hear me. All right, sorry about that.
Jeremy Male: Yes.
David Miller : A couple of questions. So on the New York City MTA platform, how many subway stations do you think you'll retrofit in the current quarter? And how many commuter rail stations do you think you'll retrofit in the current quarter? And then maybe it's too early to answer this, but thus far with the way the platform has been built out, which looks fantastic. What is the competitive environment like? How would you describe the overall competitive environment in light of what the Co is doing with bus shelters and what the Intersection is doing with the Wi-Fi kiosks all around Manhattan? And then I have a follow-up. Thanks.
Jeremy Male: Okay. So I don't think we're going to be giving a quarterly sort of breakdown of stations completed. But it's going to be a strong ramp this year. We're going to be doing around about another 100 stations between subway and Metro North Long Island Rail Road, et cetera this year in that sort of area. The interest that we're getting in the signs is terrific. And look, nobody operates in a competitive vacuum. We're always aware of that and competitive market, but what we have is we have a somewhat discreet audience, which you can only get, if you're advertising on that platform. And we also have the ability to do -- perform motion video. That's not something that can be easily done on the street. So when you think about -- if you think about the sort of ads that are coming through to your Snapchat feed or Facebook or whatever, a lot of those are actually full-motion video without sound, and portrait some that could very easily go on to one of our screens. So I'd say, look, there's always competition, but we think we have a product that actually has a greater structure to integrate audience.
David Miller: Okay. And then a related question. I'm sure you're aware of the difficulties that the outdoor industry is having with the auto category. And obviously, things are changing with regard to how dealerships to advertise and the big three how they advertise and so on and so forth. But with the full -- with the platform that you have in New York and the way it's going to look say four years, five years, six years from now and your ability to project full-motion video. Is there an opportunity to work a little bit more effectively with the auto guys with the auto advertisers and take share and really kind of create a renaissance in that particular category?
Jeremy Male : Yes. It's a great question. I was watching TV the other day and I was watching News 12 Connecticut, and in one ad break, I saw four different auto ads. And I thought what the heck is this? Disgusts to how -- why are people trying to achieve in any sort of breakthrough using that medium. It's just struck me as nuts. But we have had -- that the industry in general, we have seen auto go back with for a while. It's for us now in terms of total revenues, its sub-5% and it was down in the quarter and in fact it was one of our cash -- it was the second to bottom in terms of performance for the trailing 12 months. We're taking to them all the time. But we're pitching very hard. And I'm hopeful that some of the excitement that we're now injecting into our advertising platform with -- particularly with this digital build-out, I'm hopeful that we'll have some better news as we go forward.
Q – David Miller: Okay, wonderful. Thank you very much.
Operator: [Operator Instructions] We'll go next to Jim Goss with Barrington Research.
Q – Jim Goss: Thanks. I was wondering first about the mix component in the exceptional first quarter revenue gains in terms of static or digital or any other sort of comparisons that might have influenced those double-digit gains?
A – Jeremy Male: We're talking Q4 Jim. Well I think you're talking about the Q1 guidance.
Q – Jim Goss: All right. I know I'm actually at Q4 those were impressive numbers I am just wondering. And I think Marci touched on a little bit at the very beginning that anything where you might add?
A – Jeremy Male: Yes. I mean Q4 in total; our digital revenues were up almost 28% which is obviously terrific. We're building out digital signs we're building out our transit platform. So some of that's about new signs and some of that's about -- is purely about yield increase on our current assets. So if we look at in more detail at Q4, our digital yields were up just over 4% and our static yields were up over 7%, so that's all about -- so that was obviously a significant driver of the -- of that U.S. growth which was around 11%.
Q – Jim Goss: Okay. And given the trend toward urbanization that you're playing out and maybe your Chicago comment related to this little bit. I was wondering if you can and would want to incorporate more street furniture into your mix? Or is everything along those lines on a good basis that would at least block or slow you on a temporary basis? And what is your desire to do more in that area?
A – Jeremy Male: So just for the avoidance of doubt we do have some street furniture in our portfolio and all of that is captured within transit. So unlike one of our competitors who tends to look at billboard, street furniture and transit, we look at billboard and transit and incorporate street furniture within it. So for example we have shelter programs in a number of the smaller markets. We have our great shelter program in Miami for example. And we will continue to look for growth opportunities as they come up. We certainly don't feel that's the market that we're not in which is obviously not as -- we're not in the major markets as a couple of our competitors are in some of those contracts that are very long term. So on that basis the amount of opportunity that we'll have for growth in that area is probably going to be limited to smaller markets which are not necessarily our absolute focus.
Q – Jim Goss: Okay. Maybe lastly in the deal category, do you ever consider swaps with you competitors when each of you have greater perceived expertise on what the other holds? Are there ways that those sort of transactions get done?
A – Jeremy Male: Yes absolutely. A good question. And we do. And in fact we had a swap if we go -- but we swapped a business in 2016. We swapped some assets in Virginia for some digital assets in Boston. So yes it's something that we do actively pursue and it makes sense.
Q – Jim Goss: Okay, thank you very much.
Operator: We have no further questions at this time. So I hand the call back over to our speakers for any additional or closing remarks.
Jeremy Male: Thanks very much operator. And thank you to all of you who attended our call today. We look forward to seeing many of you at investor events in the coming weeks. Thank you once again.
Operator: That does conclude today's conference. We thank you for your participation.